Operator: Welcome to the Global Conference Call of Daimler. At our customer's request, this conference will be recorded. A replay of the conference call along with presentation slides will also be available as an on demand audio webcast in the Investor Relations section of the Daimler website. A short introduction will be directly followed by a Q&A session. (Operator instructions). May I now hand over to Dr. Michael Mühlbayer, Head of Daimler Investor Relations and Treasury. Thank you very much.
Michael Mühlbayer: Good afternoon. This is Michael Muhlbayer speaking. On behalf of Daimler, I would like to welcome you to our third quarter presentation. We are happy to have with us today, Bodo Uebber, CFO of Daimler. In order to give you maximum time for your questions, Bodo Uebber will begin with a short introduction, directly followed by Q&A. Before we start, I have a couple of admin details. I would like to remind you that this call is governed by the Safe Harbor wording that you find in our published documents. Please note that our presentations contain forward-looking statements reflecting management's current views with respect to future events. These forward-looking statements can be identified by expressions like assume, anticipate, believe, estimate, expect, intend, may, plan, project and should. These statements are subject to many risks and uncertainties, examples of which are set out in the Safe Harbor wording in our documents and are described in our most recent Form 20-F, under the heading 'Risk Factors'. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by these statements. Forward-looking statements speak only to the date they are made. Now, I would like to hand over to Bodo Uebber.
Bodo Uebber: Ladies and gentlemen, welcome to our conference call on the third quarter results and thank you for joining us. You're already familiar with the first chart of today's presentation which shows the market development in the triad markets and the consequences of the worldwide economic crisis on the demand for motor vehicles. The actual numbers did not become much friendlier during the most recent quarter and 2009 will mark the worst year in economic terms for decades. But it seems that the low point has been reached in the meantime in most of the industries and most markets. Many emerging markets are also doing better than the industrialized countries, above all China and Brazil. But there are also some countries still very much affected by the crisis, for example Russia and Eastern Europe. And it would be far too early to return to normal although there are some early indicators for recovery from a very low level. How did our divisions perform in this difficult market environment? We saw a sharp decline in the first quarter but we also clearly noted that our unit sales have stabilized during the course of the year. After the seasonally weaker summer months of July and August, Mercedes Benz cars achieved its strongest months of the year in September. Unit sales gained momentum from the launch of the new E-Class sedan and coupe and the new E-Class station wagon will support this development. Unit sales of Daimler Trucks division have stabilized at a very low level in the third quarter. First signs of recovery can be recognized in various markets and the incoming orders for our products make us feel more confident. Weak markets continue to affect Mercedes-Benz Vans business development as well with 40,100 vehicles sold in the third quarter. Sales were better than the average of the first two quarters of this year. Especially in Western Europe, Mercedes-Benz Vans managed to stabilize its unit sales and to further strengthen its market position. Daimler Buses sold 8,400 buses and chassis in Q3, 23% below the high-level of the prior year period, but a further slight increase compared to the second quarter of this year. While the development of city bus business continues to be stable, coach markets remain difficult. The economic crisis and the weak demand are also reflected in the revenue of the third quarter with €19.3 billion revenue remained at the level of the prior quarter. The development of EBIT also shows the gradual improvement over the three quarters of this year. In Q3, the Daimler Group's EBIT is positive again amounting to €0.5 billion. Excluding special reporting items, EBIT was €0.4 billion. I will go into the detail in a few minutes. Net profit of the Daimler Group also improved in the course of the year and reached €0.1 billion in the third quarter. We see this as proof that our crisis management has become effective and we're moving in the right direction in an environment where we had absolutely no tailwind from the market. We consider this development encouraging but of course there is still some way to go. Gross free cash flow and the net liquidity of our industrial business confirmed the positive development. More details on these figures are illustrated on the next chart. You can see the development of our net industrial liquidity since year-end 2008. Net industry liquidity continuously rose from 3.1 billion to €6.7 billion at the end of September. The free cash flow of the industrial business in the third quarter amounted to €2 billion. The positive EBIT contributed to the further improvement of free cash flow. Cash flow was also affected by an increase in liabilities due to the higher production volume after the production break in August, as well as positive accounts management. Furthermore, the industrial free cash flow in Q3 was positively impacted by tax related items. In connection with certain non-automotive fees transactions, the group allocated tax benefits through the Financial Services business in the past year. These tax benefits could not be finally realized. Based on the settlement with the IRS, Financial Services had to repay these tax benefits to the industrial business of the group. This leads to a net increase of the industrial free cash flow by €0.6 billion. Due to higher payments to suppliers and the seasonal inventory increase, at the end of the year, we expect from today's perspective a negative industrial free cash flow in the fourth quarter. For full-year 2008-2009, we anticipate the free cash flow to be positive. Now let us take a closer look at the development of our individual divisions. In the year-over-year comparison, the third-quarter EBIT of Mercedes-Benz cars rose from €112 million last year when the crisis had just started to €355 million this year. It has to be considered however that last year's results included charges of €449 million from the reassessment of leased vehicles residual values. The picture gets more meaningful when we look at the quarterly EBIT development. Then we can see the deep dive but also the strong improvement from Q3 to – Q1 to Q3 2009. The drivers of this recovery are the consistent countermeasures on the cost and revenue side initiated during the first half of the year and the improved sales structure. The measures designed to enhance efficiency and improve the cost position are increasingly showing effect, especially in the areas of production as well as sales and marketing. In addition, we've used working time and labor costs positively impacted the operating results. And very important, the launch of the new E-Class has supplied fresh impetus. Since March, the E-Class sedan has been launched step-by-step in the various markets, and the E-Class coupe followed in May. Together with the launch of the new generation S-Class, this had a favorable effect on our model mix, which is illustrated on the next chart. The third quarter of 2009, 28% of Mercedes-Benz cars unit sales for E and S-Class vehicles compared to 17% in the first quarter. And the new E-Class station wagon will follow in November. The new generation S-Class and especially the S 400 Hybrid are very well accepted. Approximately 20% of S-Class customers ordered the hybrid version. And while talking about product mix, we should also look at the regional mix. Our business in China is developing very positively. China is already our most important S-Class market worldwide. At the international motor show in Frankfurt in September, we presented various product highlights. One of these was the new E-Class station wagon from November 2009, it will complement the E-Class family of Mercedes-Benz. The new E-Class station wagon marks the debut of a number of technical innovations which other cars in this category offers. The number one attraction at the Frankfurt Motor Show was the new Mercedes-Benz SLS. By a wide margin, the SLS was voted the most popular among 27 new product presentations. The reinterpretation of the legendary gullwing model was celebrated market launch in Spring 2010. A pioneering role is also taken on the B-Class F-CELL, the world's first fuel cell automobile manufactured under serious production conditions. Production of the B-Class F-CELL has already commenced with a small lot. The first batch of roughly 200 vehicles will be delivered to customers in Europe and the United States next year. Daimler Trucks suffered from the unprecedented market contraction which led to a substantial drop in sales and consequently reported EBIT of minus €127 million in the third quarter. The used market declined in the truck business a bit later than in the passenger car business but even stronger. This is reflected in the earnings development. Furthermore, earnings of the last four quarters have been impacted by the repositioning of business operations in Asia and NAFTA. In the first quarter, we booked charges of €13 million for the repositioning of Mitsubishi Fuso and on the other hand Trucks NAFTA needs less provisions for the achievement of its repositioning targets. A very important factor that (inaudible) taken to reduce cost and the management of cycles within our global excellence initiatives substantially mitigated the early decline. Our efforts to create highly taxable cost structures over recent years are clearly paying off positively. And it seems that the very first signs of recovery can be recognized in the truck business. And the obvious upward trends is illustrated if we look at the quarterly development of incoming orders on chart number 10, although the orders are far from being satisfying in the quarter. Especially in parts of Asia and Latin American but also in the United States and some Western European countries, incoming orders moved upwards during the past month. The rise in the United States is also partially due to a slight pull forward effect regarding from the EPA 10 emissions regulation due to become effective on January 1, 2010. In order to further strengthen Daimler Trucks position in the big markets, we have set up projects to establish two joint ventures with Russia's biggest truck producer, Kamaz, in which we hold a 10% equity interest. The goal of our joint venture is the import, production and distribution of Fuso trucks in Russia and the other joint ventures aimed at producing Mercedes-Benz trucks and distributing trucks and buses of the Mercedes-Benz and Setra brands in Russia. At the end of 2007, Daimler started a commercial vehicle initiative called "chasing future transportation", which focus on those environmental aspects and safety. In September, we delivered the 10,000th Mercedes-Benz truck with active brake assistance. Mercedes-Benz continues to be the only manufacturer offering this emergency braking system. Daimler Trucks North America is participating in the green cities program in the USA for the production and sale of more than 600 trucks equipped with hybrid and natural gas drive systems. The program includes Freightliner business class hybrid electric and natural gas vehicles as well as chassis manufactured by Freightliner Chassis Corporation for hybrid electric – for hybrid electric and natural gas powered walk in vans. A key role on the roads to the drive systems of tomorrow is played by hybrid technologies which appear capable of reducing diesel fuel consumption by up to one third. With more than 2,200 Orion hybrid buses on the roads of North America, more than 500 Freightliner trucks, and about 600 light trucks and Fuso buses, Daimler is a world market leader for hybrid systems in the commercial vehicle sector. The next chart shows the EBIT development of Mercedes-Benz over the past five quarters. In the van business, market volume decreased very sharply during the fourth quarter of 2008. As a result, there was a pronounced early screen from Q4 2008 to Q1 2009. Countermeasures taken to increase efficiency and reduce costs successfully mitigated the negative effects from the sales decrease. While unit sales declined year over year by 45%, EBIT decreased from €212 million in Q3 to just above breakeven in the third quarter of this year. And in this challenging business environment, Mercedes Benz Vans was able to further strengthen its market position in the segment of midsize and large vans in Europe. Year-over-year, our market share grew by 0.6 percentage point to 17% in the third quarter. In line with our passenger class, the Mercedes-Benz Sprinter is now also available with BlueEFFICIENCY technology. On the one hand, BlueEFFICIENCY stands for an efficiency package. This comprises a newly developed four-cylinder diesel engine and a auxiliaries with on-demand control. In addition, the new six speed manual transmission is designed specifically for vans reduces consumption and exhaust and noise emissions. Finally the BlueEFFICIENCY package also includes ECO start/stop function which saves up to 8% of fuel in urban operations. On the other hand, the BlueEFFICIENCY technology in the Mercedes-Benz sprinter is also available with the vehicle drive system fueled with natural gas. Sharply reduced exhaust gas and noise emissions appreciably lower lifecycle costs and large cruising rates [ph] are some of its advantages. Daimler Buses recorded EBITDA of €23 million in the third quarter of 2009 after €92 million in the comparable period of last year. This decrease was particularly caused by declining demand due to the global market recession and negative exchange rate effects. The relatively good development and sales of city buses worldwide and the measures that we have initiated to enhance efficiency and reduce cost dampened the burden on the EBIT. At the meaning of September, we delivered the 25000th Mercedes-Benz Citaro bus. The sales volume next the Citaro the most successful city buses of all time. Daimler buses also participated in our future shaping transportation initiative. As a technology leader, Daimler Buses set standards in comfort and safety, for example with safety systems like the Active Brake Assist or the front collision guard. A key role of the road to tomorrows drive system is played by hybrid technologies, which differentiate ourselves from the competition, for example with the Mercedes Benz Citaro fuel cell hybrid bus presented in summer and more than 2,200 hybrid buses on Orion brand already in use. For our financial services division, the lower sales volume of the automotive divisions combined with the disciplined risk execution resulted in a decline in contract volume. At the end of the third quarter of 2009, contract volume was €58.7 billion, which was 4.6 billion lower then at year-end 2008. Adjusted for exchange rate effects, the portfolio declines by 7% since December 31, 2008. The new business of the financial services division decreased in the third quarter by 22% to €6 billion. Of course, lower contract volumes reduces our funding needs. We continue to review potential to further reduce the contract volume by selling non-automotive portfolio. EBIT of Daimler Financial Services amounted to €101 million, a decline of 42% compared to the third quarter of 2008. The decrease was mainly due to higher cost of goods, moreover burdens on earnings rose from cost of liquidity measures. But if you look at the chart, you can see the upward trend also for Financial Services business. In the first quarter, we reacted on the weaker credit policy of our customers in light of the crisis and increased our credit reserve significantly, which led to the substantially negative EBIT in that quarter. On the next chart, you can see an overview of the improvement of operating profitability for the Daimler group and its division during the year. Mercedes-Benz Cars returned to profitability in the third quarter, Daimler Trucks and Mercedes-Benz Vans are still affected by very weak markets, but the low point seems to have been passed in Q2 and earnings showed an upward trend. Daimler buses maintained positive earnings throughout the crisis, all measures that have been taken to increase efficiency and reduce cost through increasingly positive effects. The most important goal at the beginning of 2009 was to manage the crisis and to stabilize the financial flexibility of the Daimler Group. For this reason, Daimler launched a set of new short-term measures, for example salary cuts, short time working, budget cuts and many more. Those initiatives were implemented in addition to the long-term divisional efficiency enhancement program such as Go For Ten at Mercedes-Benz cars, global excellence at Daimler Trucks, creating the mix at Mercedes-Benz Vans, beyond Bus Plus at Daimler Buses and Ticket Number One [ph] at Daimler Financial Services. The targeted revenue of the 2009 countermeasures was €4 billion compared to 2008 numbers. By the end of Q3 2009, we had achieved 3.5 billion, and for fiscal 2009, we strived for more than €4 billion. The successful and disciplined execution helped the company to better manage the crisis and to safeguard our financial crisis. In respect of the short-term measures, the company expects to benefit in 2010 as well. For example, the salary cuts which will continue through mid 2010 should deliver the same benefits this year. It is very important to mention that all of the divisional efficiency enhancement programs are permanent and will be continues in 2010 and beyond. That will help us to build on the improvement already achieved in 2009. Economic development in the third quarter confirmed folks that the world economy has bottomed out and seems to recover again. However, there remains some uncertainty especially in the industrialized countries because the upturn is still relying on temporary effect like fiscal stimulus and inventory cycles. Overall, global GDP in 2009 is likely to shrink by a good 2% as a result of the dramatic development in the first half of the year. And this overall environment, most automotive markets remain difficult. Consequently, our sales assumptions are as follows. Mercedes-Benz Cars expects to achieve sales above the Q3 level due to the launch of the new E-Class station wagon and the full availability of the E-Class sedan. In light of the market development, Daimler Trucks unit sales in the fourth quarter are expected to stay at the low level of the third quarter, and or regional mix will change. The share of sales in Asia will increase versus proportion of Europeans sales is expected to decline. Mercedes-Benz Vans expect a slight improvement compared to the previous quarters of 2009, and Daimler Buses anticipates Q4 unit sales to increase versus the third quarter, mainly due to higher deliveries in connection with major orders. Now, last but not least, let me come to our EBIT expectations for the fourth quarter of 2009. Mercedes-Benz Cars EBIT in Q4 is expected to show a moderate improvement compared to Q3, 2009. Results from ongoing business should benefit from higher unit sales and efficiency improvement. Our Daimler Trucks division anticipates lower earnings from ongoing business in Q4 than in Q3 due to weak demand in most important markets and a less favorable regional mix. The business repositioning at Trucks Asia and Trucks NAFTA will also results in charges in the first quarter. The countermeasures initiated will fully compensate – will not fully compensate for these effects. Mercedes-Benz Vans is expected to achieve breakeven also in the last quarter of the year. For our bus division, we anticipate solid EBIT in the fourth quarter. Daimler Financial Services continues to face rising credit defaults and higher refinancing expenses; nevertheless the division expects to achieve a positive EBIT in Q4 again. Thanks to measures taken to cut costs and expenditures by more than €4 billion originally targeted, we anticipate positive EBIT from ongoing business also at the group level. However, as stated in previous quarters, we continue to monitor several risks which may impact the operating performance of our ongoing business. This includes potential expenses resulting from dealer and supplier defaults, and other negative impact from the discounting of from the provisions and additional expenses for the German Pension Protection Association. Ladies and gentlemen, thank you for your attention. I will be now happy to answer your questions.
Michael Mühlbayer: Thank you very much, Bodo Uebber. Ladies and gentlemen, you may ask the questions now. I will identified the questioner by name but please also introduce yourself with name and name of the organization before asking your question. Two practical points, firstly, please avoid using mobile phones, and secondly please ask your question in English. Before we start the session, the operator will explain the procedure.
Operator: (Operator instructions).
Michael Mühlbayer: Okay. Let us begin at the start with Arndt Ellinghorst please.
Arndt Ellinghorst – Credit Suisse: Yes, thanks. Good afternoon everybody. Arndt Ellinghorst of Credit Suisse. Two questions, one on Mercedes and one on trucks. So on Mercedes, since sales to corporate customers are a very important part of Mercedes European business, could you give us an update on how you see this channel behaving at the moment? And then on trucks, there was an interesting message from Mr. Renschler recently where he stated that trucks would be break even at 250,000 units sales levels which is 50% below peak sales. Could you just talk a bit about the split between fixed and variable costs in that business and how this has changed over the last couple of years? Thanks a lot.
Bodo Uebber: Arndt, your question regarding MBC is right, of course we have an objective to increase our corporate customer segment over the last two years because we have lost a little bit of momentum when we go back now three to four years. Again so we are having this as a target already. But I do think especially with our now E-Class of course we have a better possibility to increase this percentage on the one hand. And secondly we are with our CO2 measures better in place regarding overall efficiency measures. On the one hand but also for example as far as hybrids that we do see also an advantage to increase here the market share over the upcoming quarter but also in 2010, on top of a possible slight recovery which would be clear if market would recover of course in 2010, the 2007 impact on this segment anyway. Of course, your second question now regarding 250,000 units is a difficult one because Andreas is not here, so we might discuss this, although I would like to inform of course all the market that I'm not sure the statement of Andreas with 250,000 units, so I'm not aware of this statement, so I will talk to him and get into touch with you when we are London. And of course we are on road show the next couple of days, next weeks, and if there is a clear answer to the question, of course I will give it to you.
Arndt Ellinghorst – Credit Suisse: Okay. Thanks a lot Mr. Uebber. But on the corporate sales channel mix, do you generally see a different momentum in that sales channel versus your sales to private customers, or do you think they are developing similarly?
Bodo Uebber: I should not guess, we can't see it yet, but as I said from a segment point of view, we don't see it yet. We feel that our position is better due to our products what I have mentioned right now. In 2010 there might be a big impact also in the segment as such from the market point of view.
Arndt Ellinghorst – Credit Suisse: Okay, thanks a lot.
Michael Mühlbayer: The next question is from Thierry Huon.
Thierry Huon – Exane: Yes, good afternoon. This is Thierry Huon speaking from Exane. I have two questions. One is about the tone of your release today which seems to be a bit more cautious than the one we had last week when you released the preliminary figures. Is there anything new in this release compared to what you said last week because honestly last week I thought that you were doing better than you thought and I am not sure today, so if I could have some explanation it would be helpful? And the second question is about the truck, when you said that you expect lower EBIT in Q4 and Q3, is this for the prior quarter or after adjusting cost for restructuring?
Bodo Uebber: Thierry, your first question, I don't think of course what – we have given today additional information of course to the disclosure. The disclosure last week was only related to pure numbers of EBIT, which of course that better than the market expected, so we had this on the radar screen, of course. In this regard (inaudible) Mercedes Benz Cars on the one end but also for trucks that they are less burdened so to say in the third quarter. So I can only confirm today that this was released last week, today the same of course we have given you additional information about some specifics, for example the German Pension Protection Association, the increase here, we have to release the numbers which are included in the third quarter. You have again seen that we had impact in the third quarter from the interest side means the lower the interest are, the higher the discount to the net present value of long-term provisions are, and that impacts negatively. For example, also third quarter, that was the same in the second and first quarter, so the amount of money we have disclosed to you as an impact here. So I only can say it is the same what we are seeing right now. I do think most important was also not only but also the cash flow development which were better than we also internally expected with our disclosure, what we think for the first quarter that we are negative. All in all, I do think the disclosure of what we have done last time and now of course we connect the outlook of course which I would want to comment if you have special question, you can please raise it. The Q4 outlook for trucks is as we have said. The regional mix will change definitely. We will see some lower sales in Europe. We will see higher sales in Asia and of course due to the profitability in these different markets, we will see a decrease in the ongoing operating profit. In Q4 roughly as a special reporting item as we call it, so further measures for the restructuring program, is roughly between €80 million and €100 million which we see as an impact in the fourth quarter from both positioning programs.
Thierry Huon – Exane: So for the first quarter it would be between 80 and 100 million?
Bodo Uebber: Roughly.
Thierry Huon – Exane: Okay. And very last question if I may, when did you include the U.S. Army orders in your order book for the truck in the US?
Bodo Uebber: This is a good question. I am – are they included in the third quarter? In the third quarter, I get now the confirmation, they are included in the third quarter.
Thierry Huon – Exane: And could we have the amount?
Bodo Uebber: The amount, close to 2,000 units.
Thierry Huon – Exane: Okay, thank you.
Michael Mühlbayer: We will take the next question from Jochen Gehrke.
Jochen Gehrke – Deutsche Bank: Yes, good afternoon. I have two questions if I may. First question relates to the group and your cost cutting, and second question would relate to trucks. Firstly, Mr. Uebber, when I look at your profit overall, and you gross and your net cost impact, similar to what we've noted in the quarter before, there seems to be a very big gap between your gross cost cutting achievements in the third quarter, and your net contribution, which on a sequential basis is actually down, a little bit more than 200 million euro. Could you explain me why that is and what explains this huge gap? I understand the discounting of provisions is one thing, but your gross impact that you have disclosed of 3.5 billion by now, whereas your net cost savings impact, it's more like 750, what is really explaining the rest of that difference? And secondly on trucks, do you expect a major decline in the European markets, otherwise difficulties to follow your guidance on the P&L operating profit, because obviously this quarter like some others, you have your book to bill ratios above one, we should expect the fourth quarter on a global scale to see more volumes, is Europe seeing price pressure or is the volume decline on a sequential basis more material than what I think? Thank you.
Bodo Uebber: Maybe first to your second question, first of all, the order intake you can see are not impacting the first quarter. They are more impacting the year 2010 than the year 2000. So what we can see right now is clearly in our order intake of course and our production plan of course for the third quarter that we would see a decline in the European sales. And of course due to our different profitability, we have in our different businesses, which has a higher impact on negatively on sales contribution than the positive impact. We get good sales contribution from the Asian business, and that leads to, and should lead to and will lead to a profit decrease so to say in the truck business. Moving to your second question, your first question, the 3.5 billion, first of all, let me say, if we would not have all the actions we have taken and we have commented on that, whether that is short timing, salary cuts, postponing on investments which are not product related, further material cost measures, fixed cost measures, investment, investment, IT program and so on and so forth, but also measures on the revenue side, on the top line, if you would not have done it, our results year to date would have been 3.5 billion lower than we can see right now. Which means what I want to say was that there are concrete measures behind it, which we are tracking, EBIT, we are tracking. Of course, now why can't you see it, exactly in the profit works, there are some other offsetting statistics which you have already mentioned. These numbers from the interest rate level and the German Protection Association – Pension Association gets up to a number which is more than 500 million. So these numbers are not low on the one hand. Secondly some of the measures you will see also in the basket of revenue and mix which are in the sales contribution area, for example, when you change variable costs, these impacts are not on the cost side, but on the sales contribution side. So for example, when it comes to short timing, for example on the worker side, we have an impact there on the sale contribution side. And of course, we should not leave out all of my (inaudible) costs which are at the end of the day also negatively impacting. And last but not product least, some headwinds statements which is not in the countermeasures. One example is the lower one, I do think one of you will ask me what are the impacts on the supplier side, and when you ask this question, I will tell you the number, which is not included in the countermeasures for example. So all in all, it is 3.5 billion write-down, and we aim to over achieve our 4 billion target, which we can confirm that we will over achieve this target; of how much of course we will disclose to you in February with all extras.
Jochen Gehrke – Deutsche Bank: So sorry, just to reconcile this, I should not compare the 400 million to be 1.6 billion, I should rather look at the sequential steps down in your volume structure net pricing in cars which is minus 160?
Bodo Uebber: Yes, some of the targets is also included there, yes.
Jochen Gehrke – Deutsche Bank: All right, thanks.
Bodo Uebber: So sorry for that. But I do think in the crisis of course where we shooted for countermeasures, of course some of the disclosure so to say is also so to say not easy. But I do think at the end what counts that we as Daimler are now positive, the cars is positive (inaudible) than the main result.
Jochen Gehrke – Deutsche Bank: All right, thank you.
Michael Mühlbayer: All right, we will take the next question from Christian Breitsprecher.
Christian Breitsprecher – Oppenheimer Research: Good afternoon. It is Christian Breitsprecher. Two questions, one on of the financial results, I mean you are showing significant negative financial results and no real improvement there despite the fact that your liquidity position has improved again significantly. You have an industrial net liquidity position but a significant negative financial result. So could you explain a little bit what is going on there? And secondly on the cost savings, you said that your cost savings are also helping in 2010, could you give us a number what we will have as an incremental positive effect from these cost savings measures in 2010?
Bodo Uebber: Christian, for the first question, of course, the interest income, there are two effects. One is from the pension side because we have included in this EBIT the service cost and of the interest cost is roughly 70 million from the way from the EBIT to net profit. The other one is the interest income which is then remaining is 114 million and this reflects right now the high liquidity position in this regard because of course you know that debt has a higher interest rate, then you can – where you can invest. On the invest side of course the interest rates are very low and of course we are let's say maybe too conservative, but of course we don't give one bank all the money, so to say, so we spread it across over many banks, and of course we have it more short-term that long-term in this regard because (inaudible) therefore we have this effect. And let's say the outlook for 2010 will be that we will reduce the gross liquidity and we let's say in the second to third quarter we will achieve our – end of the second quarter, beginning of the third quarter, we will achieve our target profile again. Of course, it is not very difficult to achieve in this way because we will less of the bump side [ph] so to say and therefore the cost of liquidity will get down at the end of the day. But as long as we have this position of course we have a burden on the interest side. The cost saving question of 2010, of course we have said that in the account, in the 4 billion market and of course will be somewhat more, we have targeted also for one time, but for one-time savings no doubt, everything which currently we took. Therefore the name of the game will be how do we substitute the ongoing efficiency measures, these kinds of one-time effect. Of course, that is what we're looking into for 2010. Our overall target of course is that we can even further increase our measures compared to this year. How much it will be, of course, we will – might tell you then in February of next year, but we are currently in the discussion of these kinds of targets for 2010, and give sometime to give you more information on that, but clearly we need to shoot at the end of today for more targets, more efficiencies than we had at this year.
Christian Breitsprecher – Oppenheimer Research: Okay, thank you.
Michael Mühlbayer: Next in line is Adam Jonas.
Adam Jonas – Morgan Stanley & Co. International Limited: Hi, thanks. It is Adam Jonas from Morgan Stanley. I have three quick questions for you. First on Russia, you mentioned that you saw early indicators of recovery, I would love it if you could mention what some of those indicators are, because we are not seeing them. Second profit from, I have a question on profit that you might have on improved residual values of leased vehicles or maybe you could answer that from the scope of the 449 million charges you took last year were weighted to residuals, how is that coming back into the profitability? For example, how is Mercedes third-quarter profit reflected some of that improvement in the off lease vehicles or has it been unaffected from that, has the profit been felt elsewhere? And finally because you opened the door to the question yourself, the thing that you mentioned about dealerships and supplier pressure on the fourth quarter earnings, how much order of magnitude impact should we expect there to be and I must tell I am a bit surprised to hear you say that because so far the information, the results from the dealers and suppliers has been pretty, it has been pretty supportive, so where is those coming from, and what is the magnitude? Thanks.
Bodo Uebber: So Adam, thank you for your patience first, maybe it was a misunderstanding, you may be saw it strongly but Russia has so signs of improvement right now, so this is also what we can confirm. I don't like it but there is no real improvement in Russia. On the profit side, we don't – we have no reversal of impairments of these assets. That means of course what we have done where at this point of time I only would like to mention as you said we have to may be to increase it, but I do think – let's say the market developments confirmed what we have done last year in the third quarter of 2008, so we used this kind of let's say impairment which we have, but as I said, there is no reversal of impairment of these assets, so the profits are not impacted by kind of this stuff. Of course we value development as such within the US again positive in the third quarter, so we are far down from the peaks which we had seen four quarters ago, and it seems to be that the expectation also for the fourth quarter is okay. In this regard, UK also nothing, now back, so it is developing okay. In Germany we have some pressure on the residual value side, but also not as big that I have to speak to it from earnings point of view as a warning or so. From the D line supplier side which you mentioned on the supplier side, there is an increasing number of suppliers which are in problem if I might face with different faces so to say. The impact which we had year-to-date is 60 million is not as big as we might have expected but there is uptick as such, has a huge impact on our internal capacity. We have ongoing teams, of course you can imagine which are coping with that subject. On the one hand, I cannot exclude that once in a while, we get a bigger issue here on this side, and that of course longer the crisis takes, the longer we don't have top line effect from the market point of view. The situation with the suppliers was all that I can tell you how big the number that would be is increasingly an issue. On the dealer side, more or less the same, we have not had real impact right now from the dealer side, so I cannot tell you any number, because there is no number so to say, but we had some impact in different markets with insolvent dealers, which are not really a big issue. I know we could work with that. But also there more and more dealers of course, the longer the market such as they are, in the trucks we are down by 50% more or less worldwide in the triad market, you can imagine that also dealers are coping with that issue, and that could lead to possible impacts which I not really forecast, that is not possible, that is the situation there.
Adam Jonas – Morgan Stanley & Co. International Limited: Okay, thanks for elaborating on that. Thank you.
Michael Mühlbayer: Okay, next question, we take from Adam Hull, WestLB.
Adam Hull – WestLB: Hi, good afternoon. It's Adam Hull from WestLB. Three questions if I may. First actually on the R&D, you are amortizing it at 69 lower than you are capitalizing, so there is about an 0.9% on the margin in Q3, I mean if you could comment on it, but it seems to be not much that capitalizing is high, but rather amortizing level is very low. You have got 6.5 billion on the intangible assets in the industrial business, just maybe a little bit of comment on that? Will we continue to see that difference? Secondly CapEx, quite a low level in Q3, we are down 34%, 3.2% of revenues, 3.3 for nine months, just give us a little bit of an indication to what degree do you think a sustainable level of CapEx for the group is, and when do you think you'll start moving to that because obviously revenues are pretty low at the moment. And then finally, on Mercedes, I presume you have still got some pretty attractive FX hedging rates, and I presume so helping Mercedes particularly I guess on sterling, are you – perhaps you could quantify some of that and maybe give us some indication whether you are still taking FX hedging over the next year or two because you are still taking out fresh hedges on the dollar and sterling with these kind of rates? Thanks.
Bodo Uebber: So Adam your question regarding R&D of course, there is some volatility quarter by quarter in these numbers, and that depends more or less at what point of time you start with capitalizing product, new product engines or whatever. So all in all, you cannot really, see there is no indication from a quarter development towards a year development. The only thing I can tell you that we have roughly between 30% and 35% capitalization ratios as I said. It depends sometimes on what kind of products we have and that is more or less a stable number through the quarters. And in trucks we have a higher percentage in Q3 due to the restart with SGP, the future truck, for example which gets here into capitalization. So it is based on product development, on nothing else. You second question regarding CapEx, of course, with CapEx development on the one hand, there is one part which is also related to product, which we cannot really impact because we have this new product and then we have tolling, and then we will of course expanded this. On the other hand, in the crisis right now, we try also to be very aware what we spend and whatnot. So today, say what we're heading to here is of course lower than 2008. It might be higher in the first quarter on the one hand because we had postponed some spending on the one hand. And also for 2010 I don't see here right now, you might take this with you, not very further room for decreasing, there is more, let's say, room for so to say investing into the product types for 2010. On the FX side, of course we don't comment on the numbers. We had in one quarter you have seen on our profit what the effect is regarding the third quarter and all the year-to-date numbers so to say for 2010. We are hedged by 60% for the US dollars for the British pound and we are more than 60% on the Japanese yen. But of course, the currency of course is something we not only look at when the dollar is 1.50 it is always a concern. So but the 1.50 level of course is a concern and will give us some thinking about how to offset this kind of stuff. It will impact certainly also the year 2010 and especially the pound of course that developed in the direction, where we also have to take measures maybe on the pricing side in the UK, and so of course this is something which we are watching very closely.
Adam Hull – WestLB: Okay, thank you.
Michael Mühlbayer: We will take the next question from Daniel Schwarz, Commerzbank.
Daniel Schwarz – Commerzbank: Yes, hello. Daniel Schwarz. I have one question again regarding the negative impact from dealers and suppliers in the fourth quarter, is it included in the segmental guidance for Mercedes or it may come on top of what you currently expect in the fourth quarter? And the second question would be, whether you could comment on the coalition contract of the new German government, especially with the plans regarding the company contractors? And the final and third question would be, the investment decision for the roster [ph] plan of €600 million, does that imply very advanced negotiations within the corporation partner or would that be independent from your future strategy regarding small cars?
Bodo Uebber: Of course, Daniel, to your first question, it depends on the magnitude of impact. So if you would have a high-impact on the dealer and supplier side, of course, it is extraordinary, then we would disclose it as extraordinary impact and therefore it is not included in our guideline. If it would be on the reasonable level than what we have seen in the third quarter, of course, that is the number which is not over exceeding our internal threshold of doing a public announcement with a special reporting item which you would normally do. On the coalition side in Germany, the company car stuff of course is helping, everything helps. So if we get here rebate that we can use, the real price in the market for the company cars, which we are not allowed to do today, of course it would certainly have an impact, which is difficult to forecast at the end of the day. But as I said, every positive impact will help us also for the sales in 2010, and we hope that it will then also get into the Ministry of Finance that they will change this in this direction as it is mentioned in the coalition program. The rush start [ph] investment is by no means has no any relation and try to discussion of the corporation partner. That is fully standalone.
Daniel Schwarz – Commerzbank: Okay, thank you.
Michael Mühlbayer: Next question from Frank Biller.
Frank Biller – Landesbank Baden-Württemberg: Yes, hello. This is Frank Biller from LBW. Just two questions, the one is related of the Mercedes side, maybe you can give us an update on the incentives in Europe and how is it developing over the next month, so over the last couple of months and for the future. And the other thing is on EBIT Mercedes, you talked about slightly better earnings line in Q4 versus Q3, does that mean you significantly above percentage points in EBIT margin or is it on the range of Q3? The other question is related to the truck side, revenues per unit, sharply fell versus Q2, maybe you can give us here an explanation why that dropped by more than €11,000 per unit?
Bodo Uebber: So, Frank, on your question regarding incentive levels, let me confirm that in the third quarter we had no one incentive spending than we had in the first half. You know that we also have commented on that in the first of. Of course, we had the inventories, you know that, and of course we also know that we have a new E-Class on board, which both together, so having gotten down the inventories to benchmark levels in the, say, end of the second quarter, and on top the E-Class, of course, introduction of a new product, leads to lower incentive level and this positive development I do think we will also see in the fourth quarter. Your second question was regarding, can you help me again?
Frank Biller – Landesbank Baden-Württemberg: The truck division and the revenues per unit…
Bodo Uebber: The truck division and the revenues per unit is more or less also a regional mix, more or less directionally. So the main subject is here that we have more light UG in Asia and that means of course more light UG [ph] to counter them for example leads to lower revenue per unit in this quarter.
Frank Biller – Landesbank Baden-Württemberg: So will it stay in that region of Q3 or is it decreasing…
Bodo Uebber: Even it might get worse a bit because we had less European business forecasted as I said and the entire Asian business. So directionally it'll be lower in the fourth quarter.
Frank Biller – Landesbank Baden-Württemberg: Thank you.
Bodo Uebber: Thank you.
Michael Mühlbayer: Next in line is Jürgen Pieper.
Jürgen Pieper – B. Metzler seel. Sohn & Co. KgaA: (inaudible) the one question I have one question turn and this is concerning your cost cuts, you mentioned on one hand that these cost cuts are definitely sustainable, and on the other hand you said you said the salary cuts is 30 odd [ph] working week for many of the employees in Germany around until mid 2010. So what happened here, do you expect – isn't (inaudible) more or less that these employees have to turn back to the normal working schemes, which means a rise of personal costs next year from mid 2010 onwards?
Bodo Uebber: Of course, you know our conflict. It is – we have a time frame until middle of 2010, it is quite clear. But when you look here on let's say fewer economic side so to say or in terms of (inaudible) of course, we have seven months impact in 2009 and you have six months of impact in 2010. So I would regard this impact as even, so if you compare 2009 to 2010, you would have the same savings numbers, but a different time wise development, so second half in the year, more or less in 2009, and first half more or less in the year 2010. We have not finalized our total discussions how to cope of course with the long-term market demand which of course would mean then also our long-term capacity demand, comparing the capacity would be then be with the current capacity, of course we need to discuss and we need to discuss with what kind of measures we would take with this kind of gap which are different in different areas. For example in the truck area, where we had a huge flexibility, of course you target this differently, also in the aspect that you have maybe a three to five years recovery in the market, then in the passenger car business where you have lower flexibility. We had lower flexibility and we've seen maybe a recovery in two to three years timeframe and of course you know all the measures that we have especially in Germany regarding temporary – regarding early-retirement, voluntary severance programs, further short timing for example, and other measures which we will discuss of course certainly for different areas, differently and that will lead into a final also plan for the years 2010 and 2011. the discussion of course is not finalized yet, so we cannot comment on that further.
Jürgen Pieper – B. Metzler seel. Sohn & Co. KgaA: Okay, thanks.
Michael Mühlbayer: Next in line is Aleksej Wunrau.
Aleksej Wunrau – BHF-Bank Aktiengesellschaft: Aleksej Wunrau of BHF-Bank Aktiengesellschaft, just to follow up on first on your residual write-down – no, I'm sorry, on the extra pension charges of 810 million in this year, depending on the calculations you make one could also arrive at a underfunding gap of roughly 2 billion, so do we have to assume further charges in 2010, maybe in the dimension of further 1 billion roughly. And the second question is on the cost savings this year, you exceeded the initial planning, but could you give us an idea of what amount of these transitory cost savings would reverse in 2010, and then we have this discontinuation of short-term work schemes in 2011?
Bodo Uebber: So to your second question, the only thing what I would like to say that we target more savings in 2010 than in 2009, and I don't want to go further in this detailed discussion, because we have to finalize our discussions internally before we go to the market and explain what we're doing for 2010.
Aleksej Wunrau – BHF-Bank Aktiengesellschaft: Net of the reversion of the cost?
Bodo Uebber: Net of the reversion of cost. From a CFO point of view, what should we do? You know I will not have a target so to say that we reduce our effort, so we have even to further go in our efforts, because 2010 will be not an easy year, despite here the markets are not exploding in the fourth quarter, we cannot see this, and it will not cancel, and therefore we have to prepare a very tough business in the year 2010. And therefore, the overall targets has to be that we are even doing better as a target for 2010. Whether we can achieve it, we will discuss in 2011, and of course when we finalize our discussion, then we will also come to be markets with certain information, which we will discuss at this point of time when we have this kind of discussion next year in February. From the pension status point of view, of course, right now we are at – I do think your question was related to the pension status, which is 4.9 billion. At the end, it depends, a lot on stock market development, now we can guess. I do think, but it is also a little bit speculation, but right now, I don't think the market we could see a setback in the stock markets. We have a lot of liquidity in the market. If you get little bit of a setback could be would be in the long-term I do think I expect markets are going up, so when we look now in three to five years (inaudible) short-term regarding pension, so I would say of course, our gap would close at the end of the day over the time, now difficult to say how much it will be in 2010 or 2011, that is a little bit of speculation and that I don't want to make.
Aleksej Wunrau – BHF-Bank Aktiengesellschaft: Okay. Would you say what portion of the efforts are invested in equities?
Bodo Uebber: How much of the portion right now?
Aleksej Wunrau – BHF-Bank Aktiengesellschaft: Yes.
Bodo Uebber: We are in 25% level?
Aleksej Wunrau – BHF-Bank Aktiengesellschaft: Thank you very much.
Michael Mühlbayer: Our last question we have from Ranjit Unnithan.
Ranjit Unnithan – JP Morgan Securities Ltd.: Hi, this is Ranjit Unnithan from JP Morgan. I have two questions on trucks and one on cars. On trucks, could you comment about pricing, I think you may have mentioned some remarks earlier, but how is pricing tracking in both the North American and the European market? Second what sort of order trends are you seeing in the fourth quarter? I guess we are one month down, are you seeing signs of similar sequential growth that you're seeing sort of from second to third quarter, also sort of extending into the fourth quarter? And last question I have is on cars, in terms of the I guess the mix of cars that you are selling, clearly you have a new model out there, can you comment on the transaction prices or rather the increase in transactions prices that you are seeing for the E-Class? And also generally in terms of consumers coming back to sort of your higher-priced cars, if that sort of been a noticeable trend, has that sort of – is that improving in terms of product mix for the next couple of quarters? Thank you.
Bodo Uebber: First to your question about trucks, trucks pricing is more or less stable. So there is sometimes a little bit of up-and-down but it is much worse so to say mentioning that (inaudible) which is good, of course, which means okay, which is good situation, especially the question was raised over in Europe whether we can hit this price discipline which is right now quite okay. They you asked what the order intake trends fourth quarter. I do think what we can say is in NAFTA, yes, there should be a further let's say trend which we have seen in Q3 with regard to order intake, a little bit as we also slated EPA 2010 based in Europe. I would assume it, there of course we will see what the market in 2010 is doing. So right now we also cannot confirm an increase in market in Europe in 2010. There might be even maybe a decrease. So related to Truck NAFTA, yes, the other areas we will see when we disclose it, more or less. Then your question regarding, the third question was…
Ranjit Unnithan – JP Morgan Securities Ltd.: On cars, I was asking if…
Bodo Uebber: Okay, yes, sorry. Of course, it is difficult to see from one month to the other to call it a trend. As you see, the only thing that we can say is right now that our new generation S-Class is doing well, and that the whole E-Class generally is with market shares of 40% in Europe and 60% in Germany is doing quite well, and that should have a positive impact. But what we also see is that the segments are very far down. So we are talking about the lower level, but this of course, this development, I do think will stay as it right now is minimum for the first quarter.
Ranjit Unnithan – JP Morgan Securities Ltd.: And on transaction prices, anything you can offer there?
Bodo Uebber: Transaction prices I had said in a question before that I'd say kind of incentive spending went down in the third quarter, and I mentioned here in the first half here, we had inventories, a high level of inventories and of course now we have the positive impact of course of the new product family as the E-Class is.
Ranjit Unnithan – JP Morgan Securities Ltd.: All right. Thank you.